Operator: Hello, everyone, and welcome to the Yatra's Fiscal First Quarter 2026 Financial Results Call for the period ended June 30, 2025. Today's call is hosted by Yatra's CEO and Co-Founder, Dhruv Shringi; and CFO, Anuj Sethi. The following discussion includes responses to your questions reflects the management's views as of today, August 11, 2025. The company does not take any obligation to update or revise the information. Before they begin their formal remarks, please be reminded that certain statements made on this call may constitute forward-looking statements, which are based on Yatra's management, current expectations and beliefs are subject to several risks and uncertainties, that could cause actual results to differ materially. For a description of these risks, please refer to Yatra's filings with the SEC on the press release filed earlier this morning on the IR section of Yatra's website. With that, let me turn the call over to Yatra's CEO and Co-Founder, Dhruv Shringi. Dhruv, please go ahead.
Dhruv Shringi: Thank you, and good morning, everyone. Thank you for joining us to discuss our first quarter fiscal year 2026 earnings. I'm pleased to share that our first quarter performance delivered strong financial and operational results with growth well ahead of our annual guidance despite the disruption in travel in India on account of the cross-border tension and the unfortunate air crash in June 2025. This momentum was driven by sustained demand in business channel and strong execution across our platforms. For Q1 FY '26, we are pleased to report revenue of INR 2.098 billion, which is approximately USD 24.5 million, up 99.7% year-over-year and revenue less service cost or gross margin for the quarter of INR 1.15 billion or USD 13.5 million, up 36.6% year-over-year. Our growth in revenue and gross margin reflects the momentum we have in our corporate business. And in the higher-margin hotels and packages business on account of continued momentum in MICE and stand-alone hotel cross-selling to existing customers. Notably, our profitability metrics underscore our disciplined execution. Profit for the quarter stood at INR 110 million, which is approximately USD 1.3 million versus the loss of INR 0.8 million or approximately $0.1 million in the June FY '25 quarter. Our adjusted EBITDA of INR 206 million, which is approximately USD 2.4 million was up 214% year-over-year, significantly ahead of our annual guidance of 30% growth for adjusted EBITDA. These results reaffirm the strength and sustainability of our business model as well as our commitment to delivering value to our shareholders. The corporate travel market in India is expected to reach around $20 billion by FY '27. However, online penetration in this segment remains low at just about 20% in FY '24 compared to almost 45% for the overall travel market in India. This indicates substantial headroom for digital adoption across the corporate travel industry. Online penetration is accelerating driven by rapid adoption of digital booking platforms and the uptake of self-booking tools and integrated expense management solutions. In the lodging space, branded hotels and curated packages are witnessing increasing demand from both leisure and MICE travelers, supported by improving supply, better service standards and a growing preference for experiential states. Overall, this large and expanding market, coupled with an increasing digital adoption presents a significant opportunity for Yatra, particularly in the underpenetrated corporate segment. Our corporate travel segment continues to deliver strong momentum by Yatra. In Q1, we onboarded 34 new corporate clients collectively adding an annual billing potential of approximately INR 2 billion. On the B2C front as well, we continue to make good progress on rationalizing our cost of acquisitions and timing avenues to scale profitably. B2C bookings were more impacted by the macro events of the quarter and declined marginally year-over-year. Had it not been for the effect of these macro events it was likely that B2C gross bookings would have registered a marginal increase year-over- year. On the technology front, we introduced a more refined user interface, which makes it easier to upsell branded fares across airlines, which offer unique airlines specific fare options. Bundles with benefits such as baggage allowance, speed selection and flexible changes. We have also recently launched our AI assistant DIYA, which stands for Digital Intelligent Yatra Adviser which assist customers, not only for the usual customer service inquiries, but also help refine the search and helps book personalized travel products. AI-enabled servicing will provide us with further operating leverage in the quarters to come and a more refined service process to enable us to attract new customers to Yatra. Additionally, our expense management solution offers an end-to-end travel and expense solution with GenAI-Powered Receipt Parsing ERP integration and Advanced Analytics and visualization, and continues to get very positive feedback from this initial customer. In sales and marketing, we continue to amplify our partner offers from banks and airlines through our owned media and social media channels, ensuring consistent visibility and engagement. Our content marketing initiatives for the strengthened brand reach with compelling travel stories, seasonal campaigns and milestone celebrations that have resonated with our audience. We also execute with innovative brand collaborations with leading consumer brands, delivering impactful outdoor campaigns and co-branded experiences that capture attention and grow conversion. With regards to our fare convertibility as previously stated, we have a strategy in place to restructure to effectively support the conversion of U.S. shares into India shares, while some regulatory complexities remain we are navigating the required processes across multiple jurisdictions. Given this complexity, the time line is still unclear, but we'll keep you informed as we continue to make progress. Just to also clarify on this from an exchange ratio point of view, 1 U.S. share is equivalent to approximately 1.5x shares in India. As you look ahead, we see strong sustained growth opportunities driven by rising digital adoption across both leisure and corporate travel segments. Yatra is well positioned to capture this growth through our expanding corporate client base enhanced technology offerings, a growing share of high-margin hotels and packages and MICE business. We remain committed to disciplined cost management, profitable scaling and delivering long-term value to our shareholders, while strengthening our competitive edge in the evolving global travel ecosystem. Thank you, everyone, and I will now request our CFO, Anuj Sethi, to brief you on the financial performance for the quarter under review. Anuj?
Anuj Kumar Sethi: Thank you, Dhruv. Good morning, everyone. For the first quarter of financial year 2026. On a consolidated basis, our revenue from operations was INR 2,098 million, which is approximately USD 24.5 million. an increase of 99.7%, driven by continued momentum across key segments, including robust growth in our hotels and packages business and a meaningful contribution from MICE business. Our gross margin defined as revenue less service cost due to INR 1,156 million, approximately USD 13.5 million rising 36% year-on-year, underscoring the strength of our diversified business model. Adjusted EBITDA surged to INR 206 million, which is approximately $2.4 million, up [ 214% ] year-on-year. As a result, Profit for the period increased to INR 110 million, approximately USD 1.3 million. In terms of segment performance, our air ticketing passenger volumes declined 9% year-on-year to INR 1.206 million. However, gross share bookings grew 4% year-on-year to INR 14,103 million, approximately USD 4.4 million. NRA gross margin rose 54% year-on- year to INR 647 million with margin improving from 3.10% to 4.60%. Under Hotels and Packages segment, the hotel room nights grew marginally by 1% year-on-year to about INR 423,000, gross bookings increased 43% year-on-year to INR 3,433 million, while gross margin expanded 74% year-on-year to INR 311 million or USD 40 million with margins improving from 7.46% to 9.05%. While the macroeconomic headwinds and the recent air crash impacted volumes in both segments we successfully delivered higher revenue and stronger margins. On the liquidity front, cash and cash equivalent and term deposits stood at the INR 2,235 million, approximately USD 26 million as of 30 June 2025 as compared to INR 1.9 billion, approximately USD 22 million as of 31st, March 2025. Gross debt has been significantly reduced from INR 546 million, about $6 million to as of net 31st March 2025, to just about INR 29 million, around USD 0.3 million as of 30 June 2025. With this, I would like to hand it back to the moderator and open up for question and answer session. Thank you. profitability point of view. So we will continue to look at avenues to see how we can scale up faster on the corporate travel and MICE Great. That's helpful. And then my second question, Dhruv, you mentioned some hurdles remaining in the restructuring. Can you give us just a bit more color on what steps remain? And are you waiting reliant on the SEC here in the States? Is it something on the Indian Hello morning, everyone. Just wanted for to check, I see that has increased by remember right, like 9% or so. So I thought that overall travel has grown by double digits and is it because of the, to some extent, the low growth in terms of the air and is Yatra not gaining or
Operator: [Operator Instructions] The first question we have comes from Scott Buck with H.C. Wainwright.
Scott Christian Buck: And congrats on the quarter. Dhruv, I'm curious, given the momentum in MICE, what is your appetite for potentially doing another deal in the space to even accelerate that growth further?
Dhruv Shringi: integrated within Yatra and that's something that we've been able to achieve over the course of the last 2 odd quarters. And we continue to look out for opportunities, if there is something interesting that comes up, we will obviously evaluate it on its merits. But it's a segment that we are quite attracted by. It has the right dynamics from a growth trajectory point of view and also from a segments.
Scott Christian Buck: side? Any additional color there, I think, would be helpful.
Dhruv Shringi: Scott on that side, given that it's more of a regulatory process, there isn't too much else that I can share at this point of time. Apart from the fact that we do have a strategy in place that they are executing on. It does entail they're working with multiple regulators in different jurisdictions, multiple law firms right across different markets. So it is a time-consuming process, but it's definitely something, which is absolutely in top of mind for us and the Board.
Scott Christian Buck: Okay. And I guess as a bit of a follow-up, what were the quarterly operating expenses tied to this effort. I mean was it material?
Dhruv Shringi: In the current quarter, they were not as material, but even in the last quarter, obviously, it was quite significant. But in the current quarter, they were less so. Yes.
Operator: [Operator Instructions] We have another question from [ Mal Ramesh ] with [indiscernible].
Unidentified Analyst: losing market share in air and we'll be gaining in hotels and meetings?
Dhruv Shringi: So yes, in terms of your question, the overall industry growth rates on the aviation side would have been maybe slightly higher. For Yatra, specifically, what has happened is there are 2 parts to our business. One is the corporate business, which is the larger part of our gross bookings and then it comes to consumer business. While the corporate business was growing and has grown well ahead of the market, the consumer business declined marginally and this, what you see is the weighted average impact of the 2. The consumer business got impacted to a certain extent also on account of the macro factors in India which there being a product skirmish with Pakistan in the month of May, and then there was a large air crash in the month of June, both of which negatively impacted consumer sentiment, when it came to travel. Business travel on the other hand, recovered quite promptly. Hence, the business travel arm of our -- of the Yatra was be able to grow at a rate, which was much higher. But the B2C business did lag behind a bit. On the hotels and packages given that the hotels and MICE packages are largely on the corporate travel side, there you see growth rates, which is well ahead of market.
Unidentified Analyst: Okay. What's the share of your business corporate travel to this consumer? It used to be, what, 2/3, 1/3 the time now?
Anuj Kumar Sethi: Yes, sir. So corporate is about 2/3 and consumer is 1/3.
Unidentified Analyst: Okay, you still been taking the ratios. Okay. And just another question on jet topic. There is -- I mean you were going through restructuring of companies merging every company into whatever Yatra Limited. Is that going to provide any significant savings or it's not a material amount?
Anuj Kumar Sethi: It will -- there will be some savings, which will be there, plus there will be tax saving as well, which will happen. So in India, the tax saving impact of that will be about approximately $0.5 million plus a year.
Operator: [Operator Instructions] We have no further questions, and that concludes the question-and-answer session here. And I would like to hand it back to management for some final closing comments.
Dhruv Shringi: Thank you, operator. And I'd like to thank all of you for joining the call today. If you have any further questions, you can reach out to our IR partner at ICR. Thank you once again for participating in today's call and we look forward to your support going forward. Thank you.
Anuj Kumar Sethi: Thank you.
Operator: Thank you for dialing in. I can confirm that does conclude today's conference call with the Yatra. Thank you all for your participation. You may now disconnect, and please enjoy the rest of your day.